Operator: Good afternoon. Welcome to the Oculus Innovative Sciences Fiscal First Quarter 2014 Conference Call. My name is Shannon and I will be your coordinator for today's conference. At this time, all participants are in a listen-only mode. (Operator Instructions). As a reminder, this conference call is being recorded for replay purposes. I will now turn the call over to Mr. Dan McFadden. Please proceed, sir.
Dan McFadden: Thank you, Shannon. Good afternoon. Thank you for joining us. With me on the call today are our CEO, Jim Schutz; and our CFO/COO, Bob Miller. We will open the call with Bob Miller's review of our financial results for the quarter, followed by Jim Schutz update on current activities as well as our business strategy moving forward. This afternoon, Oculus issued a press release detailing fiscal first quarter 2014 financial results and recent corporate developments. The copy of the release can be downloaded from our website, which is at www.oculusis.com, and that's O-C-U-L-U-S-I-S dot com, or you can call Investor Relations at (425) 753-2105, and we will be happy to assist you. As well, we're pleased to announce that as of 45 minutes ago, our subsidiary Ruthigen has publicly filed their S-1A or amendment to the registration statement with the SEC. If you go to the sec.gov website, you can do an Edgar search and type in Ruthigen, R-U-T-H-I-G-E-N or their symbol RTGN for more information on that filing. Before we begin, I'll remind listeners that this conference call contains forward-looking statements within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are identified by use of words such as expect, to expand, would and anticipate, among others. These forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including risk inherent in the development and commercialization of potential products; the risk that potential clinical studies or trials will not proceed as anticipated, or may not be successful or sufficient to meet regulatory approvals or receive the regulatory clearance or approvals; as well as the company's future capital needs and its ability to obtain additional funding; and other risks detailed from time to time in the company's filings with the Securities and Exchange Commission included in the quarterly report on Form 10-Q and the annual report on Form 10-K. Identified product applications and/or uses are intended to highlight potential applications for the investment community and does not infer that the company is marketing for these indications. The company does not provide any assurances that such applications will receive regulatory approvals. Oculus disclaims any obligation to update these forward-looking statements. So with that, I will now turn the call over to Jim Schutz, our CEO. Jim?
James Schutz: Thank you, Dan, and thank you, all, for joining us today. This is my second earnings call since taking over as CEO in February 2013 and as an investor, I appreciate an upfront understanding of the numbers on earnings calls. So to that end, Bob Miller, will jump in right into the numbers describing our quarterly results and then touch on the guidance looking forward. Following Bob, I'll spend a few minutes on an update on our activity during this past quarter and then look ahead. And then finally, of course, we'll open the call up for questions for investors. And then we'll end the call only after every shareholder has had a chance to ask those questions. So, Bob, I'll hand the microphone to you.
Robert Miller: Thank you, Jim. First I will indicate how we did in our guidance for the first quarter ending June 30th. Secondly, provide the guidance for the second quarter ending September. And lastly we'll summarize our financial results for the first quarter. How did we do on our financial guidance for the quarter ending June 30th? We've provided guidance for the total revenue in the range of 3.3 million and 3.4 million. We've provided guidance of the $3.5 million range for cash operating expenses and spent 3 million, with more than expected Ruthigen preclinical expenses. We were lower than the $1 million negative EBITDAS range with 0.7 million negative due to lower than expected operating expenses. What is our guidance for the quarter ending September 30th? For the quarter ending September, we expect total revenue to be higher than 3.6 million, cash operating expenses to be in the $3.8 million range and EBITDAS to be in the range of 1.2 million negative. The Ruthigen expenses for this quarter are expected to be about 1.3 million, which includes salaries, consultant services and preclinical studies (inaudible) IMD application for the primary drug candidate for the prevention of infection in abdominal surgery. Ruthigen will not start any of its clinical trials until they complete their own funding with the IPO. We expect that if the IPO does not occur by the end of September then only the expenses that will continue, salaries and salary-related costs, since all of the FDA preclinical tests will be completed by then. In addition, the direct IPO-related costs such as legal costs will be repaid to Oculus by Ruthigen at the time of the closing of the IPO. On the last earnings call, we provided revenue growth rate guidance for our three business groups for our full fiscal year 2014. How did we do for the first quarter of the fiscal year in comparison to the guidance for the full fiscal year, and what is the revised guidance for a fiscal year, if any? Even though product revenue is down for the quarter, we believe that it's too early to modify our product revenue guidance for the fiscal year of 2014 of 0% to 15%. In addition, we are maintaining our guidance for our three business groups, the forecasted product revenue growth for the full fiscal year is one, 0% to 15% for Innovacyn and animal healthcare and over the counter human products. Two, 5% to 20% for the dermatology and wound care businesses and three, 5% to 20% for the international businesses including Mexico. While we expect to see negative revenue growth in the quarter ending September as compared to the same period last year, we expect to see positive quarterly year-over-year revenue growth in the quarters ending December 31 and March 31. This underscores the impact of the More Pharma transaction on a quarterly product level year-over-year growth. What are some of the key factors which can positively affect this growth? One, the volume growth in More Pharma, our Mexican partner has gained about 30% over the last two quarters. They will be increasing their focus on the attractive dermatology market and expanding into additional Latin American countries this fiscal year. Revenue for Mexico represents 45% of the total product revenue in the first quarter. Second, while the animal healthcare business was trailing last year in April and May due to a seasonal impact, (inaudible) in an especially strong month of July and similar to a very strong July of last year 2012. Revenue for Innovacyn represented 24% of our product revenue in the first quarter. Number three, we are delighted to announce that Innovacyn has arranged for a well known big brick and mortar retailer to carry Vetericyn over the counter human wound care products for significant consignment sales, which should be available for sale in the stores in September, that is next month. Recognition of the sales will not occur until the product is sold out of stores and Innovacyn is paid for the product. Not only human over the counter wound care sales are soon to include in our revenue growth guidance. Number four, our U.S. dermatology partner, Quinnova, will be launching two new products including the scar product. We expect FDA clearance for the scar prescription product in the October-November timeframe. Revenue from dermatology and wound care in the U.S. represented 18% of our total product revenue in the first quarter. In the Middle East, we have received some significant public bids which will positively impact our sales during the rest of the year. Number six, in Europe, we expect to receive additional CE mark approvals in the quarter ending December, allowing us to market for the first time a variety of prescription SKUs for the Microcyn solution as well as the Microcyn wound care hydrogel. This is the first time that hydrogel will be sold into Europe. These will broaden our product line and increase our sales in Europe. Non-Mexico international revenue represents 13% of our total product revenue in the first quarter. In addition and lastly, we expect to receive some milestone payments from Ruthigen and the repayment of the direct IPO costs when the IPO is completed. These milestone payments of 8 million are not assumed in our product revenue guidance. Moving now to the results of our first fiscal quarter ending June 30th, product revenues were now at 17% compared to the same quarter last year with decreases in United States and Europe, partially offset by increases in Mexico, China, India and Singapore. The decline in the [total] revenue growth was a result of three factors. One, the delayed seasonal purchasing on the animal healthcare products caused by late winter storms continued to reduce our animal product sales in April and May of this year. Two, the reduction of our sales to a former dermatology partner Onset and the recognition of a 2012 product launch by Quinnova in the first quarter last year which spiked our revenue at that time. Three, the structure of the More Pharma transaction tends to reduce our short-term revenue growth despite a 53% increase in unit volume sales since the reduction in the average unit price was 54% compared to last year. Product revenue in the United States decreased $710,000, a 35% lower unit growth from our animal healthcare partner Innovacyn with continued delay in the seasonal purchase into April or May which I just mentioned. The month of June and July showed the return to more normal levels in animal sales. The revenue reported from Innovacyn of 741,000 for the three months ended June 30 was down 395,000 for the same period last year. The results of Mexico represent the third – fourth quarter following the More Pharma transaction transitioning from our 30-person sales force to More Pharma's 200-person sales force in Mexico. The unit volume growth, one, in Mexico for the quarter of 53% over the same period last year and two, the recognition of $375,000 related to the amortization of upfront fees paid by More Pharma, was partially offset by a 54% reduction in the average price per unit compared to last year. Due to the transfer of the sales function to More Pharma, Oculus has eliminated cost of sales people and promotions. As a result, during the quarter, the SG&A expenses in Mexico were 394,000 lower than they were in the same period last year. Our gross profitability for the quarter was 68% compared to 74% for the same period last year, primarily due to lower gross margins in Mexico. Our operating expenses minus non-cash expenses during the quarter were $3 million flat including flat with the same period last year but including this year, 477,000 in expenses. EBITDAS for the quarter ending June 30 was a negative 713,000 including as I mentioned earlier 477,000 expenses related to Ruthigen compared to 22,000 for the same period last year due to lower product revenue and gross margins. As a lead-in to Jim, since January of this year, Oculus has spent a significant amount of time and money working on documents and activities relating to the Ruthigen IPO. We believe that the Ruthigen IPO will have a significant positive impact on the value of Oculus as we will be major shareholders in Ruthigen, thus, unlocking the value of this opportunity. An additional benefit to Oculus as a result from the Ruthigen IPO is $8 million of clinically triggered milestone payments. As Dan mentioned earlier, the S-1A has been filed publicly earlier today within a couple of hours ago with the SEC for your review which will [enumerate] some of the milestone payments. With that final comment, I'll turn it back over to Jim.
James Schutz: Thank you, Bob. For my portion to today's call, I'd like to look backwards for just a moment, then look forward to several upcoming milestones and then finally open the call up for Q&A. When I took over the role of CEO in February, the senior management team and I crafted a transition plan which encompass five initiatives. Our first initiative was to the creation of a separate standalone company Ruthigen to focus on our new surgical drug RUT5860. We have a seasoned management team in charge of Ruthigen and they are moving forward as you can tell by today's filing in that S-1A. Biotech IPOs at the moment seem especially strong. As of Tuesday, the 116 IPOs in 2013 raised $25 billion plus and produced an average return of 31%. There have been 67 IPOs in the last 90 days, with total proceeds of $12.4 billion and an average return of 29%. The active IPO pipeline looking forward includes 100 companies looking to raise around $32 billion. We won't and can't make any promises on the timing or evaluation for Ruthigen but for those of you who know Hoji Alimi, the CEO of Ruthigen, you know he is highly motivated to get out the door when the time is right. Bob already mentioned the cash we plan to receive via milestone payments from Ruthigen once they've secured their funding. He also mentioned that there's a lot of detail in Ruthigen's S-1A that is on file now. Please stay tuned for more here, lots of interesting news coming out on this relationship. Second key initiative from our February timeframe was the deployment of a strategic plan for Oculus' future growth all the while controlling expenses. You'll hear me repeat this mantra over and over again just as our employees do, because we firmly believe it's essential to our ability to continue to grow and become profitable at our earliest. Simple mantra, three things; new products, new partners, new territories. With over a 100 product SKUs now in 27 countries all being marketed by partners and distributors, this we believe is our simple roadmap to success. Our third initiative that we focused on since February we've been building our own U.S. sales team to provide an obvious third channel of distribution in addition to our distributors and partners. We increased our sales force to 15 full time sales people as of June 30th, focused primarily on the southeastern United States and selling our advanced wound management, women's health and diabetes products. We hope to add solid with new products from our own research and development and the acquisition to this growing sales engine, this growing sales team, soon. Since February when we started asking bankers, university transfers and [DCs] for interesting new products or opportunities that might fit in this growing U.S. sales force bag, we've seen some new opportunities that are surprising to me. Some were too large, a handful were certainly not a good fit but overall for a company our size, we've been seeing some very interesting new opportunities. Again, stay tuned here. We think this could be interesting. A fourth initiative of our five; back in February, our Board of Directors crafted a plan to have our former CEO, Hoji Alimi, operate our drug subsidiary Ruthigen which really taps into his passion and expertise in research and development, clinical development and regulatory strategies. While on the Oculus side, for those of you who know me, my passion and background is in new product commercialization, partnering, [licensing] and M&A. And then finally, a fifth strategic initiative we undertook and as we discussed during our last earnings call in June, we right-sized management's compensation. We don't want to spend too much time again on this point other than to say that we intend to reward our team and ourselves based upon the company's performance. And we intend to pay ourselves handsomely, we hope, only when our shareholders see the returns they expect and deserve. So for a small company you can tell we have quite a bit going on. This is the year of transition for us here at Oculus, but we think it sets the stage to create long-term value and stronger revenue growth with some several exciting near-term opportunities. So we took a quick look backwards, how about a quick look ahead at our important projects and upcoming milestones. We've obviously discussed the big one at length, the Ruthigen opportunity as a near-term milestone. One final thought about Ruthigen. The product itself, the drug candidate RUT5860, is a great drug candidate. Our head of R&D did a beautiful job in crafting this technology and we think the time, the money and the effort to move this product forward via Ruthigen is time and money well spent. If and when Ruthigen makes continued progress towards their plan to IPO, as Bob said we believe that will add short-term value back to Oculus in the form of cash and the potential for an increased stock price. Looking ahead, please stay tune for more news coming out of our partners in Latin America. As Bob mentioned, unit growth in Latin America has averaged 50% plus over the last three quarters compared to the same period last year. And we seem to be working well with our partner there and expanding our commercial footprint, be it new regulatory approvals and new territories; so exciting things ahead with our Latin American partner. Looking ahead also, Vetericyn sales, as Bob mentioned, are picking back up after a slow spring and we think they had a strong start to the summer. Bad weather, they don't think is going to slow that team down. And as Bob mentioned a few minutes ago, our partners and Innovacyn are working on several nice wins for all of us for the Vetericyn over the counter human wound and skin care products. Looking ahead we're looking forward to our FDA clearance for our new prescription scar product and the subsequent launch. You may remember that I was patient number one for that interesting new opportunity following some skin cancer surgery I had on my face and although my wife reminds me, I don't look like Brad Pitt after the surgery, it's a great product and we have very high hopes for clearance and launch this fall. One final upcoming milestone that we think will positively impact our growth and profitability and Bob referenced this also. Our international sales, especially in Europe, should show solid growth through some interesting new opportunities there before our fiscal year end from additional product approvals and added partners. So we covered our numbers, we took a look back at our transition plan and progress towards that plan and then a brief look ahead at our upcoming milestones. One final thought I referenced to transition through our small company and the changes ongoing here at Oculus. And transition can be tricky. A change just for change sake is not always healthy. But we think change with a plan, for instance, our evolving Board as Ruthigen goes public, if and when they're able to go public, we have two new open Board seats and we're very excited of some of the candidates we have. The new management team in place at Oculus. Ruthigen is the standalone focus company on that surgical suite drug, our new U.S. sales force, our new partner in Latin America and some of these exciting new clearances in Europe, those type of changes with focus, with purpose is exactly what we think the doctor ordered here at Oculus. We're pleased with the progress we've shown since February. Our near-term milestones could be very rewarding and we think we're just getting started here. So again, thanks for taking the time to listen. And Shannon, if you will, we'd like to open the call up for questions and answers.
Operator: Thank you. (Operator Instructions). Our first question is from Dan Trang of Stonegate Securities. You may begin.
Marco Rodriguez - Stonegate Securities: Good afternoon. This is actually Marco Rodriguez calling in on behalf of Dan. I was wondering if you could provide just a little bit more color in regard to the milestone payments from Ruthigen. I understand there is the S-1 you filed and you disclosed the 8 million, but perhaps you could talk a little bit about timeframes assuming that the IPO happens when it's expected, what sort of a timeframe will that money be sent to you guys?
James Schutz: It involves an assumption of when the IPO would take place which is difficult for us to make at this point in time and we've been cautioned by the attorneys. We got to be careful if we do that. But with that said, as you'll see in the S-1 one of them is the filing of the IMD for $1 million. There's another one relating to a certain stage in their Phase 1, 2 and others related to their pivotal trials. So a lot of it depends on when they actually get out the door, but if you seem that they're going to get out the door fairly soon, a number of the milestones are earlier on in their clinical program.
Marco Rodriguez - Stonegate Securities: Okay. So it's – if I'm understanding correctly and again, I apologize because we haven't had a chance to read through the S-1. The milestones, there's nothing that's going to be paid out assuming that they do their IPO tomorrow that you'll get something within a very short period of time. It's all dependant on when they do some sort of a filing or do some sort of activity in regards of their research. Is that correct?
Robert Miller: There will be a payment not necessarily related to the IPO because I mentioned this on the call is all of the IPO direct costs that we paid for will get repaid at the time of the IPO.
Marco Rodriguez - Stonegate Securities: Got it.
Robert Miller: That's a fairly significant number. By the time we get there probably in the 800k plus category. And the R&D is something they're working toward now as quickly as they can and that's one of the reasons that we're working on the preclinical tests and studies that would get filed with the R&D.
Marco Rodriguez - Stonegate Securities: Got it. And so just to clarify that rough estimate of $800,000 in IPO costs, that is exclusive or incremental for the 8 million of milestone payments, correct?
Robert Miller: That's in addition to.
Marco Rodriguez - Stonegate Securities: Got it. And a last quick question here again in regard to the spin-off here of Ruthigen, glancing here at the S-1 it kind of looks like first quarter, calendar quarter that is, they spent roughly about $0.5 million, is that a decent run rate that if we're thinking about a forward modeling perspective that we could kind of think through that that might be a good number to strip out of the operating expense line items?
James Schutz: So going forward, let's say that the IPO is not done by September and assuming all the preclinical tests we've done, the only thing that will continue would be their salary and related expenses and that includes really the salaries – and there would be some consulting but that would include the salaries of Hoji in here and their salaries are public as well as our director of regulatory and then maybe some additional consulting. So it would be – I'm not sure we've disclosed that number, but you could probably figure that out.
Marco Rodriguez - Stonegate Securities: Okay. So let me make sure I understand because maybe I didn't communicate very well, but if we take a look at what your operating expenses were for this last year here and looking at the S-1, the January through March period, you've spent about $0.5 million. If we're looking at your business going forward ex-Ruthigen, is it easy enough for us to just say that we can take that roughly $3 million, $3.3 million and expenses you had here in your June quarter, subtract 0.5 million and that's kind of a run rate for you guys?
James Schutz: No, our run rate – so you're question is what's our run rate after Ruthigen?
Marco Rodriguez - Stonegate Securities: Yes.
James Schutz: Okay. So yes, it is. In fact we have gone in the past, maybe in priors earnings call we have indicated that we would expect our cash operating expenses to be about 2.5 million. And if you take the guidance that we gave of 3.8 million, deduct the 1.3 million that we said that's our projected, cash operating expenses for Ruthigen we come back to the 2.5. Now the 477 number includes not only salaries by also it has some preclinical tests in that. If you just took their salaries, they'd be less than the 500k that they spent this quarter.
Marco Rodriguez - Stonegate Securities: Got it. And then with the spin-off assuming the spin-off occurs, there's no impact to top line revenues. Is that correct?
James Schutz: That's correct.
Marco Rodriguez - Stonegate Securities: Got it. Thank you guys very much. I'll jump back in queue.
James Schutz: Thank you, Marco.
Operator: Thank you. Our next question comes from Jack Wallace of Sidoti & Company. You may begin.
Jack Wallace - Sidoti & Company: Thank you for taking my call guys. A couple of questions here about the guidance. So if I heard that correctly it's 30.6 million for the fiscal second quarter, maintained guidance for the year of 0% to 15%. Is that correct?
Robert Miller: That's correct. We actually said greater – we expect to be greater than 3.6.
Jack Wallace - Sidoti & Company: Greater than 3.6, okay. So just taking a look at that number and obviously the number posted in the first quarter, it's down in the double digits or more there for the first half of the year. Just was looking for a pretty substantial ramp in Q3, Q4. I guess the question there is where's that growth coming from and what is baked into the guidance? Maybe I missed it earlier on the call. Does that include the scar product launch, any new opportunities in Europe and additional SKUs in territories reached in Mexico and Latin America?
James Schutz: It includes a couple of things and one of the things to keep in mind was that the More Pharma transaction, see a lot of our growth is related to that More Pharma transaction and the structure of that transaction tends to reduce our top line growth even though it improves our bottom line. So starting in the quarter in December, we will be comparing to More Pharma sort of apples-to-apples versus apples-to-oranges on the More Pharma trends in Mexico transaction. So we will start to see – when we start comparing apples-to-apples especially given the strong unit volume growth that we have down there, we'll start to see a positive revenue growth. Does that make sense on the December and March quarters?
Jack Wallace - Sidoti & Company: Yes, it does. Just taking a look at, I guess, the gross numbers here. You've got basically 7 million for the first half of the year and you did 15.5 all of last year which implies a pretty nice pickup in Q3 and Q4 not just on an apples-to-apples but on a gross perspective. Just curious of where you see the ramp? I mean you obviously had 3.6 or greater in the second quarter. It's implying that Q3 and Q4 are going to be well above those numbers and I was curious if that's maybe all or most of that growth should be coming from Mexico or if some of the other U.S. Rx businesses have some approval and new product baked into the growth figures?
James Schutz: It's a combination of all of them actually and we expect to see some of the scar will take place. We also have another product that we're launching in dermatology. We have our wound care business continuing to grow, our own sales force is continuing to grow at the women's health area. We will see later – approvals in Europe will occur the quarter ending December. We'll probably see some growth occurring in the quarter after that, in the March quarter from that. The Vetericyn business we expect to – that's back to, or at least we've seen its back to more of a normal number now versus what it was before. So we expect to see some pickup there as well.
Jack Wallace - Sidoti & Company: Okay. Thank you. That's helpful. And then maybe just talk a little bit more about the opportunity to the direct selling. You said your (inaudible) focused more in the southeast, but can you maybe talk about and potentially even put a dollar figure on the near-term opportunities there on a number of products in the bags there?
James Schutz: Yeah, I think it's a little too early for us at this point. We really just hired some of these people from the last quarter. And so it's very too early for us to talk about that at this point.
Robert Miller: I will say this, Jack, the quality of sales people available in our hunt for the best [entitled]. It was really impressive. Some good resumes from some big companies. So we were pleased with the quality of the new hires. The training went off without a hitch and they're out knocking on doors now. So why don't you save that question for the September call.
Jack Wallace - Sidoti & Company: You got it. And I was just curious, what was the internal sales count for the quarter, was it 12, was it three additional heads if I remember correctly?
Robert Miller: Yeah. We were somewhere between 9 and 10 and then we picked up some new good outside sales people. We've been heavy with an inside sales force which we like, that one-two punch of having feet on the street and an inside sales force to do a follow up. So we're pleased with the quality of candidates and the headcount increase.
Jack Wallace - Sidoti & Company: Got you. Thank you. And then just a clarification question with the 1.3 million number for Ruthigen, that's just for the second quarter, correct?
James Schutz: That's right, yes.
Jack Wallace - Sidoti & Company: Got you. Okay. So I guess kind of going back to the cash burn question related to the direct sales, what is the anticipated pickup for the rest of the year with the new heads hired there?
Robert Miller: You mean on the sales?
Jack Wallace - Sidoti & Company: Correct.
Robert Miller: Well, we expect to see growth in both the dermatology area with products that we haven't really talked about at this point for competitive reasons in dermatology as well as scar…
Jack Wallace - Sidoti & Company: I'm sorry to cut you off there, Bob. I'm talking more in terms of operating expenses not revenue opportunity.
Robert Miller: We think that our sort of base operating expenses for Oculus should be in the 2.5 million…
James Schutz: And that includes too Jack's point.
Robert Miller: That includes the sales people.
Jack Wallace - Sidoti & Company: Okay.
James Schutz: We've not broken it out pass that but we gave suggestive guidance in last earnings call, but post Ruthigen we expect cash operating expenses to fall in the 2.5 million range including the sales force.
Jack Wallace - Sidoti & Company: Okay, great.
Robert Miller: We also expect to see some increases later on in the year from the thing that we mentioned about the over the counter human area. But that at this point is we will spend more time on that in the next quarter. That's where it gets introduced.
Jack Wallace - Sidoti & Company: Okay. Thank you. That's helpful. And then I noticed the shareholder's equity number, the book value there 2.6 million getting a little closer to the 2.5 million figure. I believe that was a figure that NASDAQ required. What are, I guess, the thoughts or the concerns there and if you might be hearing from the NASDAQ again sometime soon?
James Schutz: Well, we think there are a couple of potential solutions there. One is obviously with an IPO. That will provide us with a sufficient amount of net worth, so that that 2.5 number would not be anywhere close to an issue. Second possible solution that is we're looking at a number of additional product lines, SKUs that we may actually use some stock to pay for. And the third is just normal shares to be issued.
Jack Wallace - Sidoti & Company: And then what about potential licensing opportunities with front payments somewhere to a More Pharma deal?
James Schutz: Yes, those are all get off from this. We don't have one of those right on the table right now. We do have a number of products that we're looking at to potentially acquire.
Jack Wallace - Sidoti & Company: Got you. Thank you. I'll hop back in the queue.
James Schutz: Thanks Jack.
Operator: Thank you. Our next question is from [Keith Zdroik] of National Securities. You may begin.
Unidentified Analyst: Yeah, for the Ruthigen clinical trials that you're doing, do we know if the FDA will allow you to bridge any data from previous trials you've done?
James Schutz: Yeah, good question. I know the S-1A is brand new but take a peek at that. It's beautifully written in its correspondence with the FDA is described in there.
Unidentified Analyst: Okay. So you're saying go read that but you can't really comment on that or…?
James Schutz: Well, you are aware that SEC has very thorough gun jumping rules, so we're looking to counsel before, during and after the call to advise us on gun jumping rules. So we want to be on the right side of those rules, [Keith]. It's a beautifully written document. We would encourage all of our shareholders and everybody on this call to go read it.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. (Operator Instructions). Our next question comes from Chuck Lipson of CSL Associates. You may begin.
Chuck Lipson - CSL Associates: Good afternoon. I came across a little garble but you had said that the revenues would be greater than 3.6 million for Q2 with a negative $1.2 million EBITDA of which negative 1.3 million would be attributed to Ruthigen and the expenses of the IPO. So can I infer that Oculus would be EBITDA positive without Ruthigen in the next quarter?
James Schutz: You could make that case but we're not – performance and everything else are not the same as the real thing.
Chuck Lipson - CSL Associates: Okay. But the possibility exists.
James Schutz: If you just take our 713, we're negative this time. And you deduct out 477, you end up with something 270, 250 with 3.4 million of product revenue. So if we're greater than 3.6, you can sort of see we're getting close.
Chuck Lipson - CSL Associates: Okay. You'd often mentioned the brick and mortar opportunity that suddenly it comes to light, could you expand on that a little bit and tell us is that a strategy going forward or how big a rollout might that be? Did it seem to imply those on consignment?
James Schutz: Yeah, this is a – and Innovacyn's done a fantastic job in this area and we applaud them. They are a great partner of ours. They've also asked for competitive reasons that we not disclose very much about that at this point. And other than the sales will be available or the product will be available in the stores in the September timeframe. So we are going to honor that and we really appreciate their willingness to let us disclose what we have at this point. So I'm asking you if you could sort of hold on and wait till the product actually gets out in the store, I'll be happy to answer more questions about it at that point.
Chuck Lipson - CSL Associates: But just one curiosity question, is it an exclusive sort of deal or is it something that can be expanded to other retailers?
James Schutz: I believe it could be expanded. Yes.
Chuck Lipson - CSL Associates: And final question, the Ruthigen deal has obviously taken a lot of management's time. Can you expand on how that may have hurt you in this quarter that you're in or the quarter that we're in now? And what is – you only have so many hours in a day and a lot of it is being spent on this side deal. So where have you taken time from?
James Schutz: Great question. Yes, a lot of time, energy, effort and dollars; putting aside the dollars, Bob and I have spent a lot of time with the Board and the Ruthigen team on allocating time, energy and focus towards moving the Ruthigen process forward. And quite honestly, Chuck, we can't think about a more important project that we have internally to focus on at this fashion. It's a great question. Has it taken away from time we should be spending with our customers selling more product? Absolutely and I very much look forward to spending more time on that. But in the big scheme of things, we cannot think here at Oculus of a more important project than the Ruthigen process and very much looking forward to their next steps.
Chuck Lipson - CSL Associates: So there is a drop dead data on the Ruthigen IPO though by the end of September even if public or it's Phase 2 and whatever that is, cutting the expenses towards Ruthigen and see where we go from there?
James Schutz: I'm not sure it's a drop dead kind of thing. We didn't mean to imply that. What we meant to imply is that the expenses that they're going to incur are limited. And yes, we will continue with their salaries even if it goes beyond September in which case the next step for them would be the IPO at some point whether it occur before September or after September. And we still think that's a really important project for us and very meaningful for us and we think it's going to be very positive for the shareholders.
Chuck Lipson - CSL Associates: Okay. So I did briefly look at the S-3 and it did say that you have had some products with other partners with Ruthigen and possible sales to those partners are possible joint ventures or whatever. So I guess that could always be another opportunity since you do have other people that you're talking to.
James Schutz: It's brand new. We'll let you digest it before we have the answer to that.
Chuck Lipson - CSL Associates: Okay. I'll go back and read it. I only read it around 4.15, so it was a real skim. All right, good luck. I hope we see the Microcyn sales pick up and all the other opportunities going forward and your full attention gets back to the Oculus product line.
James Schutz: Thank you for the support, Chuck.
Chuck Lipson - CSL Associates: Thanks.
Operator: Thank you. I'm showing no further questions at this time. I would like to turn the conference back over to Jim Schutz for closing remarks.
James Schutz: Thank you again for joining us today. Last thought, I think this is my third last thought. If you have the time, energy, please join us for our annual shareholder meeting on Thursday, September 12th at 10 AM here in Northern California at the headquarters. Thanks again.
Operator: Ladies and gentlemen, this includes today's conference. Thank you for your participation. Have a wonderful day.